Operator: Greetings and welcome to the Kulicke & Soffa Fourth Fiscal Quarter 2011 Results Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Joseph Elgindy, Manager of Investor Relations for Kulicke & Soffa. Thank you. Mr. Elgindy, you may begin.
Joseph Elgindy: Thank you, operator. Good morning, everyone and welcome to Kulicke & Soffa’s fiscal 2011 fourth quarter and full year conference call. Joining us on the call today are Bruno Guilmart, President and CEO, and Jonathan Chou, Senior Vice President and CFO. We will available for Q&A after the prepared comments. For those of you who have not received a copy of today’s results, a copy of the release is available in the Investor Relations section of our website at kns.com. In addition to historical statements, today’s remarks will contain statements relating to future events and our future results. These statements are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Our actual results and financial condition may differ materially from what is indicated in those forward-looking statements. For a complete discussion of the risks associated with Kulicke & Soffa that could affect our future results and financial condition, please refer to our SEC filings, particularly the 10-K of the year ended October 2, 2010 and our other recent SEC filings. I would now like to turn the call over to Mr. Bruno Guilmart. Please go ahead, Bruno.
Bruno Guilmart: Thank you, Joe, and thank you all for joining our call today. We are pleased to announce that revenue for September quarter came above the high end of our guidance. We ended fiscal 2011 with a record company revenue and operating income despite the challenging economic situation that started to impact our business in the September quarter. Net revenue for the fiscal year 2011 came at $830.4 million with net income of $127.6 million or $1.73 per diluted share. Revenue in the September quarter was $180.4 million compared to prior guidance of $165 million to $175 million. Quarter-over-quarter, we were able to improve our gross margin by roughly 40 basis points despite the quarter-on-quarter revenue decline. This consistent improved performance again demonstrates our continued focus on controlling cost in the fast-changing business environment. Our better performance also further validates the long-term opportunities we are pursuing, including but not limited to the continued copper transition, which enable higher productivity and cost savings for our customers. We continue to demonstrate agile operational efficiency and benefit from our ability to quickly react to changes in our customers’ demand. At a high level, lower demand in our Ball Bonder business had the greatest impact on our results, with Ball Bonder revenues declining 44% from our record June quarter. The decrease stemmed predominantly from our sub-customers, which accounted for 75% of our Ball Bonder sales in the quarter. From an application standpoint, approximately 63% of our Ball Bonders sold during the quarter were configured as copper capable bonders. This compared to 57% in the fourth quarter last year, which highlights the continued transition to copper and value we provide as a technology leader and enabler in a significant market. Less than 5% of our ball bonder shipments were configured for the LED market, which is down slightly from our previous quarter. Although the spurt in the LED category equipment space has been anticipated, we continue to use the LED space as an attractive, profitable and growing market going forward. As previously mentioned, LED bonders have significant R&D and supply chain synergies with our traditional IC Ball Bonders. We remain focused on participating in our future developments in the LED market in commercial and general lighting application.
 : However, our leadership position in the copper transition and wedge bonding market helped to mitigate this impact. We continue to evaluate growth opportunities that can enhance our product portfolio and help further mitigate the inherent cyclicality of our business. By working closely with our customers to better understand their needs, we try to stay ahead of the curve as we develop our R&D roadmap. This has been and remains the key strategy in our ability to maintain our leadership position in providing next generation solutions to our customers. Our competitive advantage becomes a broad total solution that is supported by our knowledge base, service history and innovative offerings that are not easily repetitive or replaced. Another important area where we’ve been very successful is in cost control and cash generation. Jonathan will provide you with details in a second. Having a strong balance sheet gives us great flexibility for some new growth opportunities and gives our customers and partners a high level of confidence as they work with K&S. I will now turn the call over to Jonathan Chou for a more detailed financial review of our September quarter. Jonathan?
Jonathan Chou: Thank you, Bruno. My remarks today will only refer to GAAP results. On today’s call, I will compare the September quarter to the June quarter. Net revenue for the quarter was $180.4 million, down $114.1 million from June. The net revenue change was driven primarily by lower Ball Bonder equipment volume. Gross profit came in at $82.7 million with gross margin slightly higher at 45.9%. This improvement was largely due to customer and product mix. Operating expense were $50.1 million, up $7.6 million from the June quarter. This increase was due to a number of items including a foreign exchange loss of $3.1 million relating to the appreciation of US dollars relative to Singapore dollars late in the quarter and non-cash write down in market value of our Switzerland facility of $3 million. We also have $1.7 million AR reserve related to delays in customer payment. Income from operations came in at $22.7 million for the quarter and $170.1 million for the fiscal year. Our tax provision for fiscal 2011 came in at $34.8 million higher than expected due to approximately $60 million of fourth quarter additional tax associated with revenue from higher tax jurisdiction and additional tax exposure in Asia. Looking ahead to the December quarter, we estimate total operating expense to decline by 20% to $48 million due to lower nonrecurring expenses and reduction related to variable component of our operating expense structure. Turning to the balance sheet, we generated $49 million of cash during the fourth quarter and $203.2 million over the past 12 months. We ended the quarter with very strong total cash and investment position of $384.6 million; this works out to be $5.24 per diluted share. Working capital defined as accounts receivable, plus inventory, less accounts payable decreased by $29.3 million sequentially to $175.4 million. From a DSO perspective, due to changes in customer and product mix, our day sales outstanding increased three days to 69 days. With respect to inventories, our day sales of inventory increased by 19 days to 67 days, this increase in inventory days relate to higher finished goods, inventory related to shipment delays requested by our customers. Our accounts payable date decreased by 21 days to 33 days. This concludes the financial review portion of our call. I will now turn the discussion back to Bruno for the December quarterly results.
Bruno Guilmart: Thanks, Jonathan. Looking forward to the December quarter, we had issued guidance for revenue to be in the range of a $100 million to $120 million. Sequential decline reflects the current economic environment uncertainty, as well as the typical seasonality of our business as customers traditionally lower their demands in the December quarter. We exited the September quarter in one of the best financial position K&S has ever been, with a robust product portfolio and a strong pipeline of new products that will be launched in next twelve months. We continue to invest in R&D for the gold, copper, and LED Ball Bonder solution, as well as our Wedge Bonder solution, so as to maintain our leadership in this key market we serve. We’ll also continue our R&D planning efforts on new market opportunities while continuing to improve operational efficiencies and our balance sheet strengths. These efforts are central to our long-term business strategy of improving cross-cyclical performance. This concludes our prepared remarks. Operator, we will now be happy to take any questions.
Operator: (Operator Instructions) Thank you. Our first question is coming from Tom Diffely of DA Davidson.
Tom Diffely - DA Davidson: Hey, good morning or good afternoon. Couple of quick questions here, first one, when you look at the December quarter, and you said OpEx would be about $48 million, does that include the amortization line as well?
 Jonathan Chou: Yes, it does, Tom.
Tom Diffely - DA Davidson: Okay, great. And then, when you look at the mix for the December quarter, is this still going to be, I guess, a little heavy on the Wedge Bonder side as well higher margins versus third quarter?
Bruno Guilmart: We don’t -- Tom, we don’t really disclose the mix, as you know, but -- and we expect the mix to change drastically from what we’ve seen in the fourth quarter of 2011.
Tom Diffely - DA Davidson: Okay, all right. And then, just backing up, looking at the broader industry, are you starting to see an acceleration by the IDMs from the gold to copper transition as well. I mean the last couple of years, a lot of it’s been those that -- kind of a lower quality Chinese chips, if you will. Have you started to see more the mainstream chips go to copper?
Bruno Guilmart: Well, I think your comment about the low quality Chinese chips, I am not sure I agree with that. There’s quite a number of fabless companies, and some fabless companies that has moved over to copper for cost reasons as gold prices went up to $2,000, I think back in the range of $1,700. More and more IDMs also are outsourcing but we are also seeing some copper transition at the IDM customers as well that I would say, generally speaking, right now, it will be an unusual situation, I would say, when you are in a downturn scenario where IDMs tend to try to utilize as much as they can, their captive capacity and maybe tend to outsource less to the OSAT. But by and large, the OSATs have been the main driver for the copper transition.
Tom Diffely - DA Davidson: Okay, yes, it sounds like the OSATs were staying in that 30%, 40% copper this year and there’s lot more aggressive goals and one of them said 60% by next year. So, when you look at a year that you think the big driver, these OSATs continue to spend on copper or is it really the IDMs starting to accelerate more?
Bruno Guilmart: No, I think the OSAT will be still the main driver, but you’ll start – I mean there’s definitely, especially for new products, the IDMs are getting into copper a lot more aggressively then they have been, but our prediction is that OSATs and especially other than the number one guy are going to accelerate even further their I would say transition into copper, whether their customers are fabless or IDM.
Tom Diffely - DA Davidson: Okay. It makes sense. And then finally, I missed what you said on the LED market, do you say there is a big softening there?
Bruno Guilmart: Yes, I mean, again the LED market, we serve what we call the higher end of the LED market. Okay. So, couple of years ago, there was a big drive from the flat panel TV and that’s kind of, I would that’s -- it’s over now. But, there is really, I mean, the peak of the quality difference between a normal LED flat panel and I would say an LED back-lit flat panel TV and just a normal flat panel TV is not that much difference, and the difference in thickness is also not that much. So, that’s kind of wave if you want which require more high end LEDs that’s kind of faded way. So, then the next big wave as we do not really serve what I call the lower end LED market are going to be for usual lighting and general lighting and this is just getting started. So, I think we are in the very, very early state of what’s going to be an exponentially growing market, but probably, you know, two, three years down the road.
Tom Diffely - DA Davidson: Okay. That sounds good. On the model, did anything change to your view of taxes between that 5% or 10% range longer term?
Jonathan Chou: Yes. Tom, in term of the tax structure, we actually have been working pretty hard to simplify our structure over the last 12 months and our current view is we are going to get to 10% to 15% for the current fiscal year and then longer term get to the probably 10% mark.
Tom Diffely - DA Davidson: Okay, all right. Thank you.
Bruno Guilmart: Thank you.
Operator: Thank you. (Operator Instructions) Our next question is coming from Lee Simpson of Jefferies & Company.
Lee Simpson – Jefferies & Company: Hi, good morning gentlemen. I just wanted to maybe make a couple of confirmation questions if I could. By my calculations I think we are back at 0.6 times book to bill similar to the level we saw in the first quarter of 2011 and just a little bit higher than we saw in the credit crunch period. In the meantime like your peers, we are starting to hear you talk about considerable customer caution and you can see that read through to the sales guidance for first quarter, but how about the order book? I mean the all important number really here, how is that building for the first quarter, do you see anything different in the nature, the size of the mix of the order book given that we’re almost half the way through the quarter already?
Bruno Guilmart: This is Bruno. I mean, the order book is pretty much done. Given our lead times and given that we are mid way through November, I would say we’re pretty much there, okay, or very close to it. So, we are seeing a combination of a few customers that have been pushing out and interesting actually also event happened with the flooding that has happened up in Thailand, in the Ayutthaya area and the northern part of Bangkok where you have a lot of semiconductor assembly and test suppliers, multinational type suppliers that have factories in Thailand. We had seen actually a pull-in from orders from the second quarter into the first quarter, so that they could ship these equipment to other factories in other geographies so as to fulfill their demand for our first quarter, which is the quarter calendar [ph].
Lee Simpson – Jefferies & Company: Okay. Okay, so the pressure is largely coming from that flooding event in Thailand that we are talking about?
Bruno Guilmart: There is actually some pull-in from the flooding events in Thailand because the factories in Thailand have been now on standstill for a couple of weeks and there is probably -- they won’t restart in the best-case scenario until a few weeks. Assuming there can even be a restart, in some cases up to the first floor of the factories are flowing under water. So, you can imagine even if they were able to move the bonders, which tend to be the lighter equipment to a higher floor and all the other pieces of an assembly line, like the mold machines and not having the power supply and all this other larger equipment are still under water right now and it’s I think, it’s going to take some time for them to evaluate when they can restart. So, as a result, what we are seeing is a shifting of the capacity from Thailand to other factories that they have because typically again, these are not Thai companies, they tend to be OSATs with multiple factories or IDMs with multiple factories as well. So, in other words, we’ve seen some pull-in from the second quarter into our first quarter, which is calendar Q4 here to ship some equipment to some other factories because right now you can’t even access the factories to get the equipment out if you wanted to.
Lee Simpson – Jefferies & Company: Understood. So, if I read you right, forgive me if I got this wrong, but it seems like the order book will be down again in the fourth quarter, this current period that we are in?
Bruno Guilmart: We will be down again compared to –
Lee Simpson – Jefferies & Company: compared to 3Q, compared to, sorry, the September quarter.
Jonathan Chou: Yes.
 Jonathan Chou: If you look at our press release, actually we do have actually the backlog number of 103, yes. That is down from Q3. 
Bruno Guilmart: Yeah, that is from Q4.
Lee Simpson – Jefferies & Company: Okay. Sorry, maybe I am being misunderstood. I mean I’m not looking at the backlog number, I was looking at the order book, the actual orders coming in the quarter. I mean, it looks like you probably did about 107 or $108 million in the September quarter. My sense, I’m trying to understand did we have an order trough in September or does it come in the December quarter?
Jonathan Chou: You are about right in terms of your estimation in terms of the booking. And in terms of outlook, obviously it is…
Bruno Guilmart: Yeah, I think, I mean right now, again while just guiding Q1, it’s difficult to predict if it’s a trough. You can read many comments as we do about the industry. There is mixed, I would say, views this quarter could be the trough, the bottom, and things could pick up next quarter. But again from our perspective right now we’re focusing on the current quarter and providing guidance for the current quarter.
Lee Simpson – Jefferies & Company: Understood. And maybe if I could just ask another quick question. Given the sort of industrial -- the outlook expected for industrial semis, you know for the device manufactures next year and the portion that power semis placed it in. I wonder if you expect the slowdown in the Wedge Bonders as a bookings story, let’s say, to continue through the next couple of quarters, or do you see that starting to show recovery?
Bruno Guilmart:
.:
Lee Simpson – Jefferies & Company: Okay, got it. Thank you very much.
Operator: Thank you. Our next question is coming from Krish Sankar - Bank of America Merrill Lynch.
Krish Sankar - Bank of America Merrill Lynch: Hi, thanks for taking my question. I had two of them. Bruno, over the last few months, have seen any type of irrational or aggressive pricing from your competition?
Bruno Guilmart: In some cases, yes. But I would say, we have been able -- I mean, we are in a position -- if you talk about copper, which is, as we said it’s 60, over 60% of our business. We’re still way ahead of the competition from a solution perspective, okay. . You know our competitors and you know what they are doing and therefore that lead in terms of performance, in terms of productivity still enable us, you know to basically maintain fairly stable prices.
Krish Sankar - Bank of America Merrill Lynch: I got you. That’s helpful. And the question for Jonathan, if I look at your September quarter mix of revenue between Ball Bonders and Wedge Bonders, assuming a similar mix, what is your breakeven level today?
Jonathan Chou: Our breakeven level in terms of total company is still around $95 million level. Although of course, we are looking at a softer kind of a quarter and we are taking measures to further tightening of the cost. So, I suspect -- our view is that that will come down a bit from there.
Krish Sankar - Bank of America Merrill Lynch: Got you, got you. Did you guys give any kind of geographical breakdown or is it something that comes out in the K?
Jonathan Chou: We have not in the past -- in terms of geographic breakdown.
Bruno Guilmart: No, we don’t break down by geographic numbers.
Krish Sankar - Bank of America Merrill Lynch: All right. Thank you very much.
Jonathan Chou: Okay. Thank you.
Bruno Guilmart: Thanks Krish.
Operator: Thank you. Our next question is coming from David Wu of Indaba Global Research.
David Wu - Indaba Global Research: Yeah, good morning, good evening. I was calling to, wanted a couple of things. When I look at your guidance for the December quarter this year. I don’t have the numbers going back a few cycles. But if you exclude the ‘09 decline, would 70% peak to trough around that number be typical prior cycle downturn?
Jonathan Chou: If I can take a crack at this, let me try to address that question. This is Jonathan, David.
David Wu - Indaba Global Research: Yes.
Jonathan Chou: I think the cycle actually has been actually pretty unique in each of the cycle. So, if you look at Q1 of our fiscal year 2011, it was actually $148 million in terms of revenue; that was actually the last low point we had before 2009. So, it is hard to kind of size up exactly whether or not $17 million is actually going to swing between top and low point.
David Wu - Indaba Global Research: Okay. Well, generally if one were to assume that the semi industry would be down and let’s assume the trough is the fourth quarter, I guess, that’s pretty much coincidental to your business, right. You’re sort of, you don’t need to lag the cycle, at least in the past, and I wonder whether cooper makes any difference to that?
Jonathan Chou: I’m sorry, with what?
David Wu - Indaba Global Research: If one were to assume that ex-memory, the semiconductor industry hits the trough quarter in the December quarter, and that unit volume will start trending higher starting in the early part of next year, I assume that you track the chip industry unit volume shipments pretty much coincidentally.
Bruno Guilmart: No, actually, we don’t. We tend to see a decline coming to us faster than the decline of the overall semiconductor industry because typically we don’t have the visibility. Again, three quarters of our business are sub-contractors, okay. And we don’t have the visibility of their customers beyond what they are telling us, okay. So, they are, I would say, a set of the food chain versus where we are, and as soon as we see the wind turning and especially when there is a lot of uncertainty at the macro level, because today the semi-conductor industry is driven by consumer demand, and when you see a whole bunch of bad news in Europe and US, that doesn’t really help the consumer confidence. As soon as they see things turning, the first thing that you stop doing is spending on capital equipment. So, we tend to see a slightly early from an order perspective than what you would see in the semi conductor manufacturers or even the OSAT players.
David Wu - Indaba Global Research: I see. Last one I have is, if for instance TSMC are correct in forecasting a 3% to 5% semi-conductor growth in calendar 2012, how does that really translate to bonder demand?
Bruno Guilmart: It is very hard to correlate how you translate that into bonder demand because it really depends on the wafer technology. Some wafer technology use wire bonding, some other use pitch [ph] although wire bonding is still dominating the overall market, about 85% of total units assembled. It is also a function of what the available capacity and utilization is at the OSAT and IDM in the case that they have -- they would get the factory. So, you know, it’s hard to correlate, is it 3% and I’m not sure they were talking in unit or in dollars, what it means for us in terms of growth. However, what I want to reemphasize is that the main growth drivers for us has not been units, because if track the unit growth, it is actually fairly moderate. The biggest driver for us has been the shift – the transition from gold to copper, which is very significant in the industry as a cost saving for semiconductor manufacturers and that has been the main driver for our growth. So, now the driver of growth has been our Wedge Bonder business, which is a very different market, which is more for analog and power management, which also has seen a lot of even with all the energy saving application, electrical vehicles, and so on. So, you just can’t I would say directly correlate what foundry tells you in terms of growth versus what it means for us in terms of Wire Bonders equipment goes.
David Wu - Indaba Global Research: Well, thank you very much.
Operator: (Operator Instructions) Our next question is coming from David Duley of Steelhead.
David Duley – Steelhead: Thanks for taking my question. Just a couple of questions on copper, where do you think your market share is now for copper wire bonders? And if you can take a stab at where you think your share is for the overall wire bonder market, as well, that would be appreciated.
Bruno Guilmart: So, for the overall wire bonder market share, the data is available, I believe through (inaudible). It does track about a quarter behind and I see related data that was published in the second quarter, we were in the mid 60s, okay. Actually, we were in the mid 60s, 65%, okay. We do not disclose copper for competitive reasons, but what I can tell you is we dominate the copper space.
David Duley – Steelhead: So your share is higher in copper than it is of the overall market?
Bruno Guilmart: We dominate the copper markets.
David Duley – Steelhead: Well, could you -- the OSATs, there was an earlier question of OSATs trying to get that 30% or 40% of copper this year and some higher number next year. But that’s their revenue mix. Where do you think we are in the overall industry revenue mix of moving to copper? What inning are we in, how would you like to describe it, are we 30% transitioned, 10%, are we in the second inning, whatever metaphor or whatever you would like to use to describe that, I would love to hear where you think we are at?
Bruno Guilmart: So, it is really depending upon which OSAT you are talking about. I would say in the sub tier, I mean, you can read the numbers, right. I think, we’re probably one-third to 40% through, and therefore a handful of them. For a lot of others, they are far below. So, trying to average it is difficult but I would say, if you -- and I guess I would say probably in the range of about 25% or so.
David Duley – Steelhead: Okay. And do you think there is still -- are you still sole source at the two big test and assembly houses as far as your knowledge goes?
Bruno Guilmart: Yes, we are.
David Duley – Steelhead: Great.
Bruno Guilmart: It is for copper. I mean, yeah, actually for the number one guys, we’re sole source for everything, basically, except for one product, very strategic for the client. But for copper, we are definitely sole source to the two larger guys.
David Duley – Steelhead: Okay. I’ve got a theoretical question, you know, people kind of beat around on the bush on this. If the overall industry improves in the March quarter end, we see unit volume growth and we see the transition to copper continue at the robust pace it has been in the past, is it a fair assumption that you’d start to see an order up tick in the December quarter if things were getting better in the March timeframe?
Bruno Guilmart: Well, we’ll tell you about this next quarter. I think right now again we are focusing on this quarter. There is a lot of uncertainty, there is a lot of volatility as I’ve explained earlier. We see some push-ins, some pull-outs, and it’s just difficult to predict, which is why we like to stick to the current quarter guidance. But, obviously, if the overall economy improve and utilization improve, that should have a positive impact to us. But again we focus and we really stick to providing guidance to our current quarter.
David Duley – Steelhead: Okay. So, I wasn’t asking you to give guidance, what I’m asking you is, if the environment does improve in March, when do the companies have to come in and order from Kulicke. So, I am just kind of curious is, if you can pick any date in the future as when things get better, how many months of lead time do you get when they order? If things do get better in March, do they have to order in the December quarter or can they wait for the March quarter?
Bruno Guilmart: Out lead time do not change I would say hugely because of our flexible manufacturing model from when we are at the low point to where we are at the high points. So, I would say, it’s anywhere from eight to ten weeks when we are in, I would say, more of a downturn type scenario, and it’s 10 to 12 when we are more in an upturn scenario. Wedge Bonders tend to be a little bit longer because they are a little bit more complex and customized, so it doesn’t really change much. So, you can -- we will get back and see when they will need to order if they need to increase capacity for the calendar Q1 of next year.
David Duley – Steelhead: Okay, great. And final thing from me, Jonathan, I think you mentioned something about accounts receivable and something about a late payment from a customer and I didn’t understand what you said. If you could repeat, that would be great.
Jonathan Chou: Sure. It basically, this has to do with the account receivable. We have actually increase in that category due to certain customers basically delaying their payment. And there’s really - this is just based on our (inaudible). 
David Duley – Steelhead: And, do you expect to collect the money eventually or is this something that you feel you need to write-off?
Jonathan Chou: Historically, we actually have basically very, very low kind of bad debt that we had to write-off. So yes, we are talking to people like that. It’s just matter of basing our policies, we have to provide reserve for it.
David Duley – Steelhead: Okay. Thank you.
Bruno Guilmart: Thank you.
Operator: (Operator Instruction). Thank you. We do have a question coming from John Randall, private investor.
John Randall – Private Investor: Well, Bruno, (inaudible) cash, what are the plans going forward for cash?
Bruno Guilmart: Cash, as we’ve mentioned during the call, we have about $4 million of cash, which -- it’s about $0.24 [ph] per diluted share. We have also a convertible notes repayable in June of about – how many -- $10 million? And so therefore, that’s kind of the overall cash situation. Right now, we want to keep the flexibility on our balance sheet. One of our, I would say, first priority and key strategy as I mentioned during the prepared remarks is to increase -- augment our product portfolio either organically or non-organically. And I know it’s really very important to diversify, to try to mitigate a little bit of the cyclicality in our top line. So, I think this is one of the first-time K&S is in such a healthy financial situation, and right now the plan in basically to keep this flexibility. We are not going to rush into making any kind of acquisitions, like K&S may have done in the past. We obviously have a very methodical approach. We are looking at new market opportunities and whether to develop these by ourselves or to acquire some technologies.
John Randall – Private Investor: Thank you.
Operator: Thank you. There are no further questions at this time. I’d like to hand the floor back over the management for any closing remarks.
Joseph Elgindy: Okay, thank you. So, if there are no further questions, this concludes our call. Thank you all for your time today. Good bye.